Barbara Seidlova: Hello, everyone. And welcome to CEZ Group Financial Result 2024 Results Conference Call. It’s my pleasure to welcome Martin Novak, Chief Financial Officer; and Pavel Cyrani, Chief Sales and Strategy Officer, who will walk you through the presentation and then we will have a time for question-and-answers. I’m now handing over to Martin.
Martin Novak: Thank you. Good afternoon, and good morning, everybody. I will go through first two sections of the presentation. So let me look at Slide 3. You can see actually our EBITDA and net income results for 2024, where compared to our guidance from November 12th, we actually increased real numbers significantly. So we achieved CZK137.5 billion EBITDA and CZK38.1 billion adjusted net income. The reasons that actually led to higher EBITDA than originally expected in November are coming from two parts. One is actually Generation segment, which is plus CZK5 billion. The main reasons are actually listed on the slide. Revolutionary derivatives, higher prices than originally anticipated, update of provisions and lower cost, and higher operational availability of our nuclear and hydroelectric plants. In other segments, we had lower purchase cost of commodities and also higher revenues from connection of the customers into Distribution segment. So very simply taking our adjusted net income and applying our payout ratio of 60% to 80% of this adjusted net income, you would come to a potential dividend of CZK19 billion to CZK25 billion or CZK35 per share to CZK47 per share. On next slide, we have more information about our acquisition of GasNet. We acquired Czech Gas Distribution that covers vast majority of the territory. You can see it actually on the little map. With the exception of Southern Bohemia and Capital City of Prague, we cover entire Czech Republic and actually numbers are consolidated since September 1. We acquired 55.21% stake. Remaining 45% is held by two financial investors. There are main indicators, financial and also volumetric data. Those that are actually worth highlighting is the size of the distribution. 59 terawatt hours are actually transported of natural gas a year. 65,000 kilometers of gas distribution network. Almost three quarters are actually hydrogen ready. 2.2 million connection points in the country. EBITDA around CZK11 billion annually and net income about CZK4 billion annually. And this asset is not only a very interesting investment from financial point of view, but also would help us actually to achieve our goals in converting our heat plants to CCGT where more gas will be needed and also in the future also power plants, having better access to infrastructure, and of course, gas as a result of our trading operations. On next slide you can see actually a few highlights of our nuclear assets with more details provided. I will just maybe stress that we are increasing the Generation volume in existing power plants and our ambition is to achieve 32 terawatt hours per year. We are getting close in 2025, 38 point -- 31.8 terawatt hours that you would like to produce as you will see later. The details of how this should be achieved are provided in the text. We also ensured or contracted non-Russian nuclear fuel from Westinghouse with the first deliveries to be provided this year. We selected preferred supplier in a tender for construction of new nuclear units in Dukovany. It is KHNP Korea Hydro & Nuclear Power Company of South Korea. It was actually selected as a private -- preferred bidder in July 2024. Negotiations on the contract actually are ongoing and signing the contract should be happening sometimes during the second quarter of this year. We also became a strategic shareholder of Rolls-Royce SMR and continue to prepare SMRs in our country. South Korea. Next slide, actually, KHNP information is provided with more details. So, basically, one more thing is worth mentioning. Also, the paperwork, actually, and the approval processes are running according to schedule. So, on February 27, we received a zoning permit for new Dukovany site. And we also negotiated not only the Dukovany II extension, but also an option on two nuclear units in Temelín. On the next slide, you can see details on our partnership with Rolls-Royce. We acquired approximately 20% stake on March the 4th. And the logic is, as we already stressed out last time in November, that we would like not to be only customer of future SMR providers, but also participate through our chain of suppliers on construction of those units, not only for us, but for other customers as well, and be able to utilize, actually, our expertise and supply chain in those projects. Again, more detail is provided on the slide. On the next slide, you can see how we are doing in ESG. In ESG agenda, in 2021, when we started officially communicating in ESG agenda, we set a goal to be among 20% best companies worldwide, measured by CSRHub. And we are actually now -- we have got, actually, gotten between 6% or among 6% best companies. So we already overachieved our original target, as you can see on the chart, and on the left side, with, again, more details provided. So we are happy that we are on the right track. Financial outlook for 2025, on Slide #9. This is important slide. Actually, we are aiming at CZK125 billion to CZK130 billion EBITDA and CZK25 billion to CZK29 billion of net income. The main changes year-over-year are lower prices, power prices that are declining in the future, and also lower revenues from ancillary and regulation services and lower revenues from coal sales. Positive effects might be coming from or will be coming from us acquiring GasNet, which will bring about CZK7 billion into our EBITDA, and higher utilization of nuclear plants, where we should increase year-over-year utilization pretty significantly. Selected assumptions of the current forecast, we aim to produce 43 terawatt hours to 45 terawatt hours in the Czech Republic. Average realized prices of electricity generated in the Czech Republic are €120 per megawatt hour to €125 per megawatt hour. Total depreciation and amortization of around CZK50 billion, CZK6 billion of which is attributable to GasNet, and another CZK7 billion is attributable to accelerated depreciation on coal assets. Windfall tax of CZK26 billion to CZK30 billion to be expected on 2025 numbers. So those are the main highlights of the year. Now I would continue with financial results and detailed discussion on EBITDA and net income, mainly comparison with 2023, which is on Slide #11. You can see that our operating revenue has grown slightly by 1% to almost CZK345 billion. Our EBITDA, as already mentioned, is 10% higher year-on-year, achieving CZK137.5 billion. Operating income CZK93.4 billion or 11% better. Income taxes are actually a function of pre-tax profit which means it’s growing as well as our EBITDA is growing. So in total almost CZK53 billion, CZK32 billion out of which is attributable to windfall tax. Our net income is actually CZK30.5 billion which is 3% better over 2023. Adjusted net income is actually 9% lower. Adjusted net income has achieved CZK31.8 billion and I will cover the adjustments on those further slides. Operating cash flow is somewhat lower mainly due to significant amounts of cash coming back from margins in 2023 and it achieves CZK124.4 billion. CapEx almost a quarter or 25%, 24% higher than in 2023 achieving almost CZK57 billion. Our net debt as of 31st of December has grown to CZK102 billion or CZK203 billion, increase of 34% and net debt to EBITDA ratio is well below our target and it is actually on 1.5 times. Next slide you can see actually split of our breakdown of EBITDA. On the right slide, on the right side actually, on the right picture you can see the breakdown of CZK137.5 billion split among various segments of our business. Generation from nuclear is almost half of our EBITDA, CZK65.3 billion. Generation from renewables CZK8.6 billion. Trading CZK5 billion. Sales segment CZK9 billion. Distribution which is the second strongest segment CZK27.2 billion which also includes GasNet for last three months -- last four months of 2024 and then we have actually Fossil Generation and Mining CZK13.7 and CZK8.8 billion. Those actually emission free activities in our EBITDA are now achieving 84% which is significant improvement over 2023 and our emission based EBITDA is now only 16%, so again it’s moving us closer to our targets in the future. Next slide you can see actually comparison for waterfall chart getting us from 2023 EBITDA of almost CZK125 billion to 2024 EBITDA of CZK137.5 billion. There are a few items that move it upwards and two items that move it downwards. CZK7.1 billion improvement on Generation segment, Generation facilities, out of which CZK10 billion is actually lack of cap on the revenues that was only in place in 2023 and it was CZK10 billion, so this is the main variant actually something that we did not have to pay in 2024. Trading although it’s showing negative variance. Trading has achieved CZK3.6 billion result which is way above usual average, but it is below last year as the volatility was significantly lower in 2024 than in 2023 and mainly 2022. So we are getting back to normal I would say. Mining activities minus CZK3.4 billion, mainly due to lower prices of coal that we supply to our coal plants and lower amount of coal to be supplied to third parties due to lower demand for coal due to market conditions. On the other hand, we compensate this by lower operating cost of CZK1.6 billion. Distribution segment is now comprised of two entities, it is Czech distribution which is such a distributor which is actually power generation or power distribution and GasNet which is gas distribution. GasNet is a new segment which we did not have before, so in full EBITDA for four months of 2024 is actually included and there was nothing in 2023, so it’s all actually positive impact. In Czech power distribution we had significant improvement versus 2023, but the vast majority of it is actually coming from so-called correction factors of CZK3 billion, of which we will have to return actually in 2026 after it is audited in 2025. Sales segment CZK2.7 billion better result. Retail segment CZK1.8 billion, improvement mainly due to declining purchase prices of commodities and ESCO energy services is helping us with CZK700 million. On next slide you can actually see the year-on-year changes in net income. So we are starting with EBITDA that is 10% higher, depreciation amortization is actually CZK6.4 billion or 18% higher mainly due to us including actually GasNet depreciation which was CZK2 billion for one-third of 2024. We have high depreciation on coal assets because we decided to accelerate depreciation of coal assets in October 2024 so this is an effect of one quarter of a year and we also have high depreciation in other segments mainly Czech distribution. Then asset impairments CZK2.3 billion, part of it or significant part of it is actually being reversed back into adjusted net income as you will see later so those impairments are mainly related to impairment on our mining assets. Other income and expenses the largest variation is coming from interest income and expenses which interestingly enough was zero in 2023 where we had a lot of cash coming from margining actually from power exchanges being deposited at relatively high interest rates leading to the fact that our situation that basically our interest received and interest paid was equal. However, this is not usual situation, so now we are again back to normal where our interest paid is higher than interest received by CZK3 billion. I already commented on income taxes so we are coming to net income of CZK30.5 billion and adjusted net income CZK31.8 billion. There are two adjustments; one is actually CZK1.9 billion of non-cash charge into income that we actually returned back which is actually impairment of a mining company so we increase actually net income by CZK1.9 billion and we decrease it by CZK0.6 billion and this is actually non-controlling interest in GasNet, so this is actually a net income that is attributable to minority shareholders that we according to accounting rules fully consolidate but for purposes of adjusted net income subtract from the net income. So this is how we get to CZK31.8 billion. On the next page, you can see nuclear and renewable generation, we achieved 29.7 billion -- 29.7 terawatt hours of power generation in nuclear plants, which is 2% lower than in 2023, mainly it is due to lower plant availability of Temelín. This will significantly change in 2025 when we assume a 7% increase. This is mainly due to shorter scheduled outages of Temelín and we should be getting closer to 32 terawatt hours actually 31.8 precisely. On renewables we had a good year actually renewables, we had better results in Czech Republic due to better hydroelectric plants output in 2024. On the other hand, we don’t expect it in 2024 -- 2023, I’m sorry, we don’t expect it in 2024. I don’t expect it in 2025, so again there should be a little decrease in hydroelectric by 0.1 terawatt hours and in total we would expect to produce the same amount of power from renewables 3.7 terawatt hours in 2025. So overall increase of nuclear and renewable generation should be 6%. Next slide, you can see our generation coming from fossil fuels. We have identical generation from Czech based power plants 14.1 terawatt hours in 2023-2024 and the same expectation for 2025. Well, we have a -- we had a decrease actually between 2023 and 2024 on Polish plants of about 18%, and as you know, we actually disposed Polish plants on 6th of February. They were actually transferred -- the ownership was transferred to the buyer so we have only 0.2 terawatt hours produced actually in Poland and that will be -- it will be nothing more coming from Polish plants further this year. On natural gas generation we had practically no change between 2023 and 2024, and we expect actually 29% decline in 2025 due to lower -- expected lower deployment of Počerady CCGT due to market conditions. Next slide, so very important, you can actually see how much power is hedged, how much power we actually sold. This also provides information about 2024 and which is 100% clearly delivered and in the orange bubbles you can see actually average achieved prices and in the table below actually what portion of power it is. So, for example, for 2025 we were 90 hedged on December 31, 2024. The same chart on the right side is actually showing the information for the carbon credits that we that we purchase, as well in the moment when we sell actually coal-based power. And on the last slide from this section you can see selected events of Q4. We actually sold Polish assets to ResInvest Group company as I said on 6th of February, very successful transaction from our point of view, part of our decarbonization strategy. We would like to stay in Poland. We are very active in Poland in ESCO services, but we decided to leave power generation go market. Temelín and Dukovany meet the requirements of the new other international standards for environmental management, we again actually received certificates proving that and we also sold 15% stake in a company, Veolia Energie in Czech Republic. We historically had a 15% stake which was a result of the larger transactions when we got actually a stake in heat plants in the Czech Republic, so now we decided actually to dispose after many years of holding this financial investment basically this take back to Veolia Energie International. So this is all for me and now I will hand over to Pavel Cyrani to go through customer segments and implementation of VISION 2030.
Pavel Cyrani: Thank you, Martin. So, splitting to Page #20, just a quick overview. The customer segments contributed CZK36.1 billion in EBITDA, with CZK23.2 coming from Distribution, as already mentioned. On the Distribution, it’s about 33% year-on-year growth. Electricity distribution, now, gas distribution, obviously, is the addition of GasNet here, with only the four months where we actually consolidated GasNet out of about roughly CZK11 billion, which was the full year EBITDA. The Sales segments contributed roughly CZK9 billion and those were about 42% year-on-year growth. So, overall, all of the customer segments fared nicely in 2024, and obviously, we expect the same or better even in 2025. Now, in terms of some of the other numbers, in terms of electricity distribution, which means, basically, consumption, we see a flat development year-on-year. After the decreases since 2020, we basically see stabilization and looking forward, we see the opportunity for growth. And similar situation in gas, again, year-on-year basically flat with a very slight growth. But again, we perceive this as being kind of the local minimum with the outlook being of consumption growth. Now, why the consumption should grow on both of these is as electricity and gas replace coal in all the aspects of coal being used, either in in electricity and heat, that would be mostly gas or also in household heating and an industry which would be more on the electricity side. Going forward, the demand for looking at the retail segment. I’ll start with the number of customers. We basically see a flat development, 1% decrease. Again, we see the situation stabilized. We have acquired roughly 400,000 customers since 2020, as a number of customers basically returned to like a very reliable partner, which CEZ is and there’s now a slight correction with some of them going and looking for other options. At the same time, the number of customers which we started off in 2020 was 2.85 million. So we still see a very significant growth compared to the pre-crisis situation. In terms of the volume, the volume in retail might look a little bit misleading. As during the crisis, there are also some SME customers coming to CEZ probably, which normally is a household only supplier. There was a window of opportunity for them to get better prices by the Czech [ph]. Now, they’re typically three-year contracts expired and they are coming back to CEZ. So a large part of this volume drop is actually a migration to CEZ ESCO. In terms of the energy services, we see the growth both in the revenues as well as, the actual profits. To continue, we experienced 14% growth year-on-year and we expect 7% forward looking. What we what we recognize and what we see in the market is that regardless of the discussions in the public arena, in terms of the further development, Green Deal and so forth and so on in Europe, the mostly industrial customers are still looking for ways of safe energy, save money and with this also reduce emissions. And that is causing the demand for our energy services companies being CEZ ESCO, Czech Republic and Elevion in the other parts of Europe. Now, a quick overview of from the customer segments of selected events in Q4. You all heard that we have worked to develop our LNG business, so bringing gas through energy cargoes to through Netherlands and in the future also through Germany. Our teams also worked on developing other routes of gas and one of them is importing gas to Europe from Algeria through undersea pipe and into Italy and then from Italy further into Europe. And we have concluded the first contract starting in October last year with SONATRACH, which is the national Algerian company, gas company. The other piece of information is a long-term cooperation agreement with the City of Ústí nad Labem, one of the regional capitals where we agreed to supply them with heat in the long-term. That would be from the Trmice site where we intend to build a combination of gas-fired and biomass-fired heating and CHP stations. This follows the same development for Kovultov coming from other Prunerov and Tusimice site, as well as Northern Moravia coming from the Dětmarovice site [ph]. And last but not least, just to highlight, we have achieved 100 high-performance public charging stations number with 55 being built in 2024. I think the density of the charging network is quite high in Czech and especially the share of the high-performance charging stations is way above European average. And the good news is again that we see also growth in the usage, so also the volumes of electricity charged through our charging networks are going up by 10% so year-on-year. Now a quick recap of how this all fit into our Vision 2030 Clean Energy of Tomorrow. Just a reminder, we are working on our strategic initiatives under two pillars. One is transforming our Generation portfolio, the second is providing the energy solutions to our customers so they can also transform their energy usage. Now we get asked to what degree this is or this is not and will be or will not be impacted by the public discussion on the Green Deal goals, targets, developments. And we are sure, we are confident that it will not impact our strategy significantly. Our strategy has always been aimed at achieving all three goals of the energy trilemma and that is energy security, energy competitiveness and energy sustainability. Now sustainability is the part that is being kind of discussed now, obviously in terms of security and competitiveness. These are goals that nobody questions and all our activities that we are doing are targeting all three of these. So we definitely aim to continue in delivering our strategy. Now Pages 26 and 27 highlight some of the achievements. Many have been already mentioned by Martin in the era of nuclear. Let me mention just a couple more. The construction of the second LNG terminal we have contracted starting 2027 in Stade has started, has been launched. And then I already mentioned we are working on achieving our targets to convert our heating station portfolio to gas and biomass by 2030. So there’s construction going on a number of sites. And last but not least we are also working on expanding our renewables portfolio. We have added roughly 40 megawatts of new renewables just last year being supported from the modernization fund. And we have just a little less than 160 megawatts of solar power plants under construction and more in the pipeline. In terms of the customer activities, again a number of things have been already mentioned. I just put some highlights. I think our colleagues in Czech Distribution, the electrical grid have been successful in answering the demand from our customers to connect new solar photovoltaic panels, typically rooftop. By now we have connected almost 30,000 of those. So with a record investment of CZK20 billion last year. We’re also working on digitalization both in Distribution and supply. So I think overall we are meeting all of the targets we have set forth within our vision and we also see demand for these services still continuing from our customers. In terms of the priorities for 2025, again basically along the two main pillars plus sustainability or ESG, we will work on operating our nuclear power plants at maximum capacity. We expect the generation to grow quite a lot. Obviously a number of milestones are ahead of us on both the large and the small modular reactor programs. We’ll continue again in our program for renewables buildup and heating station transformation. Now last but not least, the law, which for the Czech speakers lacks OZ3, which is now in the final stages of approval, contains a paragraph which allows the Minister of Industry to introduce a capacity market. So that would be the last piece in the Generation portfolio puzzle for the Czech Republic, and we hope that once the law is passed, the Minister of Industry will start working on introducing capacity market for also like plain vanilla gas-fired backup power. In terms of the energy solutions and customers, customer segments, again basically alongside digitalization, investment into new connections and 2025 will be the year when we will see much more flexibility-based products being available for our customers. There’s a rollout of smart electricity meters starting this year, and with this, our supply companies will offer more products for customers to participate also in the spot market and be able to get involved in demand-side management and so forth and so on. And obviously, in the sustainability, I think, we have done, and as already mentioned, a lot of work in improving our ESG score and this is something we want to maintain and work on further. I think, and with this, I’d like to conclude and hand over back to Barbara.
A - Barbara Seidlova: Yes. Thank you. We are now open to questions. I can see that Arthur Sitbon from Morgan Stanley raised his hand. Arthur, you can unmute yourself and ask your question.
Arthur Sitbon: Hello. Can you hear me?
Barbara Seidlova: Yes.
Arthur Sitbon: Great. Thank you. Thank you very much for taking my question. The first one is on the evolution of the dividend, because the 2025 net income guidance is lower than your 2024 profits. I was wondering, how do you think about dividend evolution in that context? Will you try to smooth the dividend decline by maybe paying a lower payout this year and increase it next year or maybe paying above the guidance range on payout next year or is the dividend volatility not really a key issue, a key concern for you and you won’t necessarily change your payout ratio for that? So, that’s the first question. The second one on electricity, well, on networks, actually, electricity and gas, I think, if I’m not mistaken, that the regulator has confirmed the initial proposal of an allowed return of 6.9% a few days ago. First, is that correct? And should we have in mind any important change in the final document compared to the initial proposal? And if it’s correct, is that a good enough return for you to invest further in electricity networks? And maybe one last question on the windfall tax. If there’s been any update on discussions, whether or not it will indeed end at the end of 2025? Thank you very much.
Martin Novak: I’ll answer the first and third question. Dividend, what we propose is actually in line with our dividend payout ratio that was adopted, I guess, two years ago, if I’m not mistaken and that’s what it is. So, technically speaking, if the profits are lower, the mathematically calculated payout ratio will also be, in nominal terms, lower. I think it’s too early to really discuss dividend of 2025 and 2026, way too early. And we will be announcing our proposal as a management of the dividend for 2024 in the spring of this year. So, that’s probably as much as we can say. Windfall tax, according to the law, it’s actually valid until the end of 2025. So, we don’t hear really about abolishing it for 2025. There’s no initiative on cancelling the tax for 2025, but there is also no initiative of prolonging it. This was really set for three years by the law, so there is an end to it and we would assume that this is what it will be. And now maybe Pavel on Distribution.
Pavel Cyrani: On the Distribution, you are correct that the base WACC for both electricity and gas distribution is 6.9% pre-tax. However, there is a bonus WACC of up to 1.5%, so combined we are looking at 8.4% pre-tax. And the KPIs to achieve this bonus is mostly driven by investing in excess of the depreciation. It differs for gas and electricity, for electricity it’s 1.6 times CapEx over depreciation to achieve the maximum bonus. And there’s a number of other KPIs, but it’s quite a lot of details that we can share offline. And just concluding, looking at the KPIs, looking at the cost of capital and looking at our plans, we believe that we should achieve the full bonus. So we are looking at 8.4% pre-tax WACC.
Barbara Seidlova: Okay. The next question comes from Piotr Dzieciolowski from Citi.
Piotr Dzieciolowski: Good afternoon, everybody. I have three questions, please. So the first one on the nuclear production, you are guiding to almost 32 terawatt hours. Is this the number we should assume going forward? So you will have around 32 terawatt hours, because I remember historically you had the target to achieve higher production and it never materialized. And so how should we think about this number in the future? So that’s the question number one. Second, can you please provide an update on this, whatever you can say on the negotiations regarding this construction of the two reactors? It was meant to be closed to financing for it and potentially disposal of your SPV at the end of first quarter. Now we’re talking about the first half and you have an election coming up later this year. So is there any risk that it slips post-election and how advanced you are? So any update would be helpful. And then on -- finally on the realized prices, to -- can you maybe break down the realized price for the nuclear versus lignite, like how does it compare? Because you still combined the two assets together, but they seem to have a very different production profiles, one working baseload, the other more like seasonally in winter. So if you can say anything, how much of a premium lignite gets?
Martin Novak: So I will answer the first and third question, the 32 terawatt hours is something that is a result of basically our ability to exchange fuel in the units once in 18 months, so not necessarily every year. And that was one of the reasons why the power generation was relatively low in 2024, compared to 2025, where you will be getting close to 32 terawatt hours. So I would not necessarily say that in 2026, actually, we will be again on the same number. It might be again lower, actually, than 2025, because we will be replacing fuel in those units where we will not be replacing fuel, actually, this year. So 2030 goal is to achieve steady 32 terawatt hours, but it’s not that it will be automatically from now on every year like that. So that’s the first question. The second question, realized prices, what we do, we actually sell our power output both for nuclear and lignite plants in a straight line method three years ahead. And in terms of selling base load, there is no difference between nuclear plants and lignite plants. However, we keep about 10% of position open, as you could see actually on our numbers on the chart where it shows how much power was sold and which years ahead. So I think we had like 10% open position at the beginning of January for 2025, which takes into consideration various peaks and opportunities on the market, which clearly are not coming from nuclear, because nuclear is really running in a steady way, and this coming more from gas, where we actually don’t hedge it at all, and coal. So that’s the answer. Basically, coal and gas are used to cover the peaks, stable nuclear output isn’t. But when we actually do hedges, that you can see actually on those slides, they are the same price for all units.
Piotr Dzieciolowski: Okay.
Martin Novak: And then now the KHNP or government negotiations.
Pavel Cyrani: Look, I think, what we understand is that the commitment to finish this process is still there, it’s still valid, and I think, here we are talking about a delay to -- a potential delay of a couple of weeks, which would be used to really make sure that all the contracts are negotiated to the best possible situation or the best possible form, and I think, it’s kind of, well invested couple of weeks, if it isn’t improving the contracts and I don’t think there should be anything beyond that, that you should kind of get from it or look into.
Piotr Dzieciolowski: Okay. Thank you very much. Very helpful.
Barbara Seidlova: Next question from Bram Buring of Wood & Co.
Bram Buring: Yes. Hello. With regards to your CapEx, you published in the report, the new update, it looks like now you’re expecting CapEx to peak in 2027 at somewhere around CZK83 billion and then to drop off fairly [Technical Difficulty] Hello. Hello.
Barbara Seidlova: Yes. We can hear you.
Bram Buring: Yeah. Okay. Cheers. Then drop off in 2029-2030. My question is to do with the renewables portion of that CapEx, because it’s been, frankly, quite low, and low for a while, so I’m curious about what you’re including for renewables in 2026 to -- in 2025 to 2027. And then if you are, and then to ask about the long-term 2020 CapEx -- the long-term solar capacity in the Czech Republic, 6 gigawatts, I believe it was, should I understand that your CapEx in 2028-2030 is sufficient, as it were, to allow you to reach that 6 gigawatts? Thank you.
Pavel Cyrani: Hi.
Bram Buring: Yeah.
Pavel Cyrani: Look, on the renewables, the way we decided to plan the investments is basically on the, based on the programs that are now available, to put it. So from this perspective, obviously the CZK25 billion or CZK23 billion of renewables with the peak of CZK27 billion would not be enough to build 6 gigawatts. And we are ready to expand the renewable program beyond what is now being in, what is in the plan, as soon as we see better conditions for the renewable projects. We have asked for a number of projects to be supported from the modernization fund, but with the capture solar prices, decreasing and also the conditions of the modernization fund being more strict, we don’t see that much opportunity beyond what we’ve already either launched in terms of construction or what we’ve applied for and we’ll be kind of following closely what other programs, and let’s say, markets would be created for further renewables. I would say, the government now approved a law which introduces so-called acceleration zones in the cripple rolling. Obviously there is still some legislation process between the government approval and the actual law, so we’ll see how quickly will that be put in place. Obviously if this starts there could be quite a big opportunity for wind to be constructed and that wind would come on top of it and we would then update you on our CapEx plan as soon as we will see that this kind of has been put in legislation and then there is this window of opportunity for wind. So this is how we eventually decided to approach renewables because the situation simply changes too quickly and the programs are changed year-on-year and it’s difficult to give like a long-term plans. Obviously we have -- our balance sheet allows for more investments into renewables that what you see right now in the plan.
Bram Buring: Okay. So right now the sort of let’s call it the long-run CapEx of around CZK66 billion isn’t compatible with a target of 6-gig of PV in the Czech Republic and we have to think…
Pavel Cyrani: Exactly.
Bram Buring: … about a lower number.
Pavel Cyrani: Yeah.
Bram Buring: Do you have an idea what that number, let me ask you this, you told us what’s under construction and what was what was operational at the end of 2024 please for Czech PV?
Pavel Cyrani: I think we are looking at roughly 160 megawatts of operational…
Bram Buring: This year.
Barbara Seidlova: This year.
Bram Buring: And…
Barbara Seidlova: Yes.
Bram Buring: The number…
Martin Novak: Just not to…
Pavel Cyrani: Just not to confuse it these are similar numbers, there’s like a little over 160, a little less 170…
Martin Novak: Yeah.
Pavel Cyrani: …operational and at the same time a very similar number around 160 is under construction, similar numbers but different things that they describe.
Bram Buring: But so that not 160…
Martin Novak: But this is not like, we will get for the money you’ve seen there. We will get more than this for the money you see there.
Bram Buring: You will get more than that for the money you see there. Okay.
Martin Novak: Yeah.
Bram Buring: Well and then, well, to help me unpick that puzzle, could you just give me an all-in number CapEx 2025 to say 2028 all-in number for coal to gas switching?
Pavel Cyrani: The coal to gas switching is roughly like the numbers that we have increased is roughly CZK68 billion in the presentation as it was published.
Bram Buring: Great. Thank you very much.
Barbara Seidlova: We have a follow-up question from Arthur.
Martin Novak: Before we go in the question like, also on this one I would like to explain it, like, we don’t know how exactly the capacity markets will look like, so what is included in those CZK68 billion is the coal to gas switching in combined heat and power, because there we know what’s happening, we get the support from modernization fund and we also get a, like, a special support for combined heat and power production. Now similar with the situation in renewables, we will present the exact plan on how much backup gas capacity we intend to build once we understand what the market looks like when it starts and what are the conditions. We have a number of projects in the pipeline, so this would also come on top of these CZK68 billion the kind of backup gas, backup power that we would build against the new capacity market if it’s introduced.
Arthur Sitbon: And assuming that it’s introduced that spending on new CCGTs and similar would start roughly when 2029 later?
Martin Novak: Roughly 2028 probably earliest 2029, 2030,2031, so.
Arthur Sitbon: Cool. Thank you very much.
Barbara Seidlova: Okay. We can take the next question from Petr Bartek.
Petr Bartek: Good afternoon. Two quick questions. First, maybe if you can share your view on the carbon prices going forward, say, mid-term, not only for this year, what you see in terms of regulation, the impact from the situation in the USA and elsewhere, whether you would expect any change in the outlook? And second, when you speak about the CHPs, gas-fired CHPs for heating, if you also -- if you are also looking at, for example, power-to-heat solutions, so you would use the solar production for heating? Thank you.
Martin Novak: I’ll start with the second. I mean, we do pilots and testing of, like, a combination of solar and heat pump. But honestly, just the solar production and the heat consumption are as misaligned as it gets, so we are not getting beyond pilots. So that’s on this one.
Pavel Cyrani: And the first question carbon price?
Martin Novak: Carbon price. Look, honestly, we don’t know. We don’t know any more than you do. We see the discussion. What we understand is that, there’s a lot of discussion on, like, the combustion engines. There’s discussion on EU ETS2. I haven’t heard much about discussing about EU ETS1. I don’t know if you have heard, so this is what we are kind of seeing. This obviously predates EU ETS1, predates the so-called Green Deal. At the same time, can something very unexpected happen these days? Yes, anything can happen. So we are really kind of just kind of waiting to see how this discussion will develop.
Pavel Cyrani: And basically behave the same way as always. So whenever we sell actually coal-fired electricity, we buy carbon credits to lock in the margin. That’s all we can do.
Petr Bartek: Okay. Thank you. Maybe if you can share a little bit about the spot margins on the natural gas-fired power plants. I saw quite a high production in Q4, if I’m not mistaken. So whether you see any development in the market that you could comment on?
Martin Novak: Look, any time there is not enough sun and no wind, it’s the Bonanza for gas part, right? So that was the Q4 last year.
Pavel Cyrani: Which is in winter.
Martin Novak: And then we do expect that this situation will be happening in the winter and that’s when the gas stations come in.
Petr Bartek: Okay. Okay.
Barbara Seidlova: Okay. It seems we do not have any further questions. So thank you, everyone, for participating. If some further questions come up to your mind, just contact Investor Relations. Thank you very much and good-bye.
Martin Novak: Good-bye.
Pavel Cyrani: Goodbye.